Operator: Greetings. Welcome to CV Sciences' Fourth Quarter and Year-End 2023 Conference. At this time, all participants are in listen-only mode. The question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. At this time, I'll turn the call over to Brendan Hawkins. Mr. Hawkins, you may now begin your presentation.
Brendan Hawkins: Thank you, and good morning, everyone. With us today with prepared remarks are CV Sciences' Chief Executive Officer, Joseph Dowling; and Joerg Grasser, Chief Financial Officer. After the prepared remarks, we will take questions from the analyst community. I'd like to remind you that on today's call, management's prepared remarks may contain forward-looking statements. These forward-looking statements are subject to risks and uncertainties that may cause the actual results to differ materially from those anticipated by CV Sciences at this time. When used in this call, the words anticipate, should, could, estimate, intend, expect, believe, potential, will, project and similar expressions as they relate to CV Sciences are as such forward-looking statements. Finally, please note that on today's call, management will refer to non-GAAP financial measures in which CV Sciences excludes certain expenses from its GAAP financial results. Please refer to the CV Sciences press release from earlier today for a full reconciliation of its non-GAAP performance measures to the most comparable GAAP financial measures. This morning, the company issued a press release announcing its financial results. Participants on this call who may not have already done so, may wish to look at the press release as the company provides a summary of the results on this call. The press release may be found at cvsciences.com. I'd like to now turn the call over to CV Sciences' Chief Executive Officer, Mr. Joseph Dowling. Joe?
Joseph Dowling: Good morning, everyone. Thank you for joining our call. This morning, we issued a press release reporting results for our fourth quarter and for the full year ended December 31, 2023. We are very pleased with our Q4 and full year results as we continue to drive revenue through product innovation and operating the business cost efficiently as we move closer to profitability and cash flow positive. We recently completed our acquisition of Cultured Foods, a plant-based food company located in Poland, which spearheaded our transition to a global health and wellness company. Also, we continue to evaluate and pursue additional M&A opportunities that will allow us to leverage our strengths and assets. Over the last several years, we have built an efficient and cost-effective consumer products platform. Significant highlights during 2023 included. We generated revenue of $16 million for fiscal 2023 compared to $16.2 million for 2022, basically flat year-over-year revenue in a very challenging environment. Our gross margin of 44.3% for the fiscal year 2023 improved significantly from 34.2% for 2022. We further established our number one position as the top-selling hemp extract brand in the natural product retail sales channel with a market share of 25% according to SPINS, the leading provider of syndicated data and insights for the natural, organic and specialty products industry. Our strong product innovation efforts continued during 2023 with numerous product launches, including our reserve collection, extra gummies and softgels in Q1, our new daily balance line of THC-free gummies and softgels also in Q1. Our reserve collection extra sleep gummies in Q3 and earlier this week, we announced our expanded pet offering with the launch of pet chews for hip and joint health and calming care chews. On the expense side, we continue to operate more efficiently as we reduced operating expenses to $9.9 million for fiscal 2023, a 20% reduction from 2022. And as we have discussed over the last several years, we believe that an M&A strategy is an important component of scaling our business, consolidating our industry and leveraging our assets and strengths. As announced in 2023, we are excited about our acquisition of Cultured Foods in Q4 of 2023. Cultured Foods is a leading manufacturer and distributor of alternative plant-based vegan foods, which provides us with a foothold in the European Union that will allow us to leverage our key strengths and competencies and represents a key milestone in our transition to a global health and wellness company. Joerg will provide more detail on these financial highlights. Our industry has faced serious challenges since early 2020. And those challenges, including brand saturation, continued in action by FDA and Congress, and historically high inflation, continue to persist. Despite the challenging environment, we have made significant progress to position the company to achieve profitability and free cash flow. We continued our proactive steps during 2023 to address these challenges and some of the highlights are. We continued realignment to make sure we have the right personnel, the right partners and the resources to optimize our operational effectiveness. Personnel realignment during 2023 for our US-based operations continued. Our US headcount at the end of 2023 was 38 down five positions from the end of 2022. We continuously evaluate every vendor relationship, including contract manufacturers, packaging suppliers, ingredient suppliers, every professional service provider, including legal, accounting and other consultants to ensure that we have the right partners and are receiving optimal value. Facility, transportation and shipping costs are significant components of our cost structure that we monitor constantly. Our facility costs were dramatically reduced during 2022 when we move from a 30,000 plus square foot facility to a facility that is approximately 6,000 square feet. This move alone has resulted in annual savings of approximately $1 million with zero decline in productivity. The timing of this move was ideal and coincided with a hybrid work model resulting from the pandemic that includes both remote and on-site work schedules. Our transportation and shipping costs are an area where we are continuously implementing process change to improve cost efficiency. Over the last couple of years, we have implemented a 3PL warehouse fulfillment model that is constantly scrutinized for cost efficiency, while at the same time, improving shipping times and customer service. This is an ongoing effort and an area we believe further cost savings can be achieved. All of these initiatives fully embrace our long-standing commitment to an asset-light business model that can take advantage of an industry that is maturing, becoming more professional and trustworthy. However, we are evaluating strategic opportunities to in-source manufacturing for some of our product form factors that could help achieve further cost efficiencies. We have realized a positive financial impact from these cost efficiency measures. But our commitment to continuous business improvement is constant and we expect further efficiency gains in 2024 and beyond. On the revenue side, our immediate goal is to increase sales. Revenue increases will come from several areas, including organic growth as the CBD category stabilizes from years of uncontrolled brand expansion and lack of regulation. Increase in market share in our core channels as the number of brands continues to contract, penetration into new markets such as pet, non-CBD supplements and plant-based food products. Product innovation will bring new customers to the category and invigorate our existing customer base. And last, strategic M&A acquisitions to add other CBD brands or non-CBD brands or services to our business platform. Significant brand contraction continued during 2023. Retailers and consumers are sticking with brands they know and trust. In the natural product retail channel, we are the number one selling brand and we continue to see market share concentration of the top four brands in the 60% range. Customers are sticking with brands that they know and trust and our flagship +PlusCBD brand is at the top of the list in the natural channel. Our B2C sales channel continues to improve. Our B2C infrastructure is built for scale and can support nearly unlimited traffic and activity. We continuously improve our merchandising and marketing investment to optimize our B2C ROI. We are seeing results in our critical B2C KPIs, including site visitors, and we have made good progress in our subscription and loyalty programs. Brand contraction, increased education and consumer awareness and trust will all help grow the B2C channel and we are prepared to grow the channel and take market share as the category evolves. Product development will continue to be important for our growth strategy. Consumers want high-quality brands like our +PlusCBD products, but they increasingly want multi-active ingredient products that carry a structure function claim that is backed by science and can be trusted. We continue to address this trend under our wellness line, including our sleep, calm and relief products and our over-the-counter topical line. We will continue to innovate and launch new products that are responsive to our customers and their specific need states, including for anxiety, pain and sleep disorders. We believe that strong science supports our product claims and will win the trust and loyalty of our existing and new customers. On regulatory matters, we remain active with numerous advocacy groups, including the US Hemp Roundtable to provide Congress, the FDA and other federal and state agencies with data and the information needed to advance sensible legislation for both the hemp and cannabis industries. While inaction by FDA and Congress is frustrating, we have seen incremental progress and remain optimistic regarding a regulatory framework. We were pleased with the 2023 announcement by the Department of Health and Human Services recommending cannabis be rescheduled to Schedule III. And we, along with everyone in our industry, are hopeful that the DEA will agree with and act on this recommendation. We know that CBD safety has long been a concern for FDA. The subcommittee hearing of the House Oversight Committee in 2023 included strong testimony regarding CBD safety, along with regulatory recommendations from industry experts to advocate for FDA and Congress to regulate CBD as a dietary supplement and food and beverage additive. We strongly agree with this recommendation and believe that current regulations governing dietary supplements are the starting point to establish a regulatory framework for the CBD industry. The absence of federal regulation has led many states to enact regulations that are extremely challenging and costly for companies to comply with. This creates confusion for both retailers and consumers and creates an environment where bad actors are allowed to participate. However, we will continue our active involvement at both the federal and state level and will remain persistent in pushing Congress, FDA and other federal and state agencies to make progress. We all know that a sensible regulatory framework will significantly benefit our industry and consumers will lead to further investment into scientific research, will attract new investors and will create an environment where quality companies and products can be trusted to grow the category responsibly. A few comments on our drug development program and treatment of smokeless tobacco use and addiction. During 2023, the company received its formal certificate of grant from the Japan Patent Office for its patent application 721-6697 for our drug development assets. This patent covers methods of treating smokeless tobacco addiction by administering pharmaceutical formulations containing CBD and nicotine. CV Sciences has also filed corresponding patent applications that provide similar patent protection in additional key commercial markets with patents already granted in the United States, Canada, Australia, Germany, Great Britain, France, Spain, Netherlands and Italy. We continue to believe this program and assets have value and we are seeking collaboration partners to financially support this effort. Many of the challenges in our industry continue, but we are positioning our company to compete in the current environment. During 2023, we continue to streamline our operations, increase cost efficiency and realign the company for growth and profitability. We have made great progress in structuring a very lean, cost-efficient organization that has positioned to leverage our strengths, which includes our employees, the quality of our products, the trust in our brand and the strength of our distribution. We will be able to achieve profitability and cash flow positive at a much lower revenue number than many of our competitors because of the tough decisions that we have made and our much lower business model cost. Let me pause now and I will turn the call over to Joerg.
Joerg Grasser: Thank you, Joe, and also good morning to everyone. During fiscal year 2023, we saw the results of several of our key initiatives, which we talked about in previous earnings calls. We maintain our top line revenue at $16 million in a very competitive market where most of our competitors are experiencing sales declines. We also continue to see a positive financial impact of our cost efficiency measures across all functional areas of the company. Over the last several years, we have significantly reduced our cost structure without significant productivity losses and we are well positioned for operating leverage as we continue to increase our revenues, all with the main goal of creating shareholder value. Our fourth quarter revenue decreased slightly by 2% to $3.8 million compared to $3.9 million in the fourth quarter of 2022. Our unit sales declined by 6.7% in fiscal year '23 compared to fiscal year 2022, offset by higher average sales prices per unit of 5.8%. We were able to take market share from our competitors across all of our sales channels, including the natural product channel and B2C. Our new product introductions were successful and our team is doing an effective job on executing on our go-to-market strategy. New products introduced since the beginning of 2022, represented 33% of our fiscal 2023 revenues, which shows the importance of new product innovation. The overall CBD market continues to be fragmented and very competitive. We don't see this changing anytime soon, but we see further brand consolidation and brand contraction, which are opportunities to further increase our market share and our revenue base. Our direct-to-consumer business continues to perform well with reduced digital marketing spend and associated sales represented 46.5% of total revenue in the fourth quarter compared to 46.2% a year earlier and 40.9% in the third quarter of 2023. Our B2C revenue for the fourth quarter 2023 increased on a sequential basis by 6%. Our team made solid improvements throughout 2023 to our main digital KPIs. We were able to continue to increase our visits to our website despite lower paid advertising spend. Our e-commerce team also made good improvements to our subscription and loyalty programs and increased our overall customer list, all good signs for growth in this channel. Gross margin for the fourth quarter of 2023 was 45.8%, our best gross margin in the last nine quarters. We recognized gross margin of 40.4% in the fourth quarter of 2022 and 45.1% in the third quarter of 2023. Gross margin improved for the full fiscal year 2023 to 44.3%, significantly up from 34.2% in 2022. The improvement in gross margin compared to prior year is mostly due to reduced shipping and fulfillment costs, lower overall overhead as well as higher average sales prices. We are working on further cost efficiencies, especially in the area of shipping and fulfillment in order to further improve our gross margins and increase our gross profit. We anticipate that we can further reduce our shipping and fulfillment costs and realize additional cost savings of approximately $40,000 per month starting in the second half of 2024. SG&A expense for the fourth quarter was $2.6 million, down from $3.6 million a year ago. SG&A expense included a noncash impairment charge of $0.3 million for 2023 and $1.2 million for 2022, executing the impairment charges, our SG&A expenses for Q4 continued to decrease by $0.1 million on a year-over-year basis. SG&A expense decreased by 20% from $12.4 million in fiscal 2022 to $9.9 million in 2023. These improvements are the direct result of our ongoing efforts to reduce our overall cost structure. We have taken cost out from all areas of our business and we will continue to do so in 2024 and beyond in order to generate positive cash flow. For the fourth quarter 2023, we generated an operating loss of $0.9 million compared to an operating loss of $2.1 million a year ago. Our adjusted EBITDA loss for the fourth quarter was $0.5 million compared to $0.7 million in the fourth quarter of 2022. The improved operating performance and adjusted EBITDA loss was a result of our asset-light business model, which allowed us to implement cost savings throughout the organization to minimize our cash outflow. On a GAAP basis, we reported a fourth quarter 2023 net loss of $0.9 million compared to a net loss of $2.3 million in the fourth quarter of 2022. Now let me turn to our balance sheet. We continue to manage our cash position very carefully and ended the fourth quarter of 2023 with $1.3 million of cash compared to $0.6 million at the end of fiscal 2022. Cash generated by operations during the year ended 2023 was $2.3 million, a significant improvement from the same period a year ago, which had cash usage of $1.9 million. The improvement in our operating cash are due in part to the receipt of our ERC funds of $2.5 million and lower cost of operations. Excluding the ERC funds, our cash flow from operations is close to breakeven. During the fourth quarter of 2023, we used a modest amount of $0.3 million in operating cash. We continue to aggressively manage our overall cash position with improved cash collections on our outstanding AR and daily management of our inventory and vendor payables. We continue to adjust our cost structure to be in line with our expected revenue with the overarching goal to generate positive operating cash on a continuous basis. We anticipate some modest cash usage in the first half of 2024. Our inventory was $5.7 million at the end of the year compared to $6.6 million at prior year-end as we continue to focus on efficient cash management and converting our raw materials into cash. Our raw materials mostly consisted of hemp oil, which we previously purchased and continue to convert into finished products. Our raw material balance has decreased from $3.6 million at prior year-end to $2.9 million as of December 31st, 2023. Also in April 2023, we extinguished our note payable with Streeterville and are now essentially debt-free. In addition, we have working capital of $1.8 million. On December 7th, 2023, we closed the acquisition of Cultured Foods and we consolidated their results into our financials from this point forward. With our improved balance sheet and our reduced cost structure in place, we have the financial flexibility to continue executing our plan and look forward to improving trends as the year unfolds. Now I will turn the call back over to Joe.
Joseph Dowling: Joerg, thank you. As Joerg and I have discussed this morning, we continue to align our company to the scale of the industry to achieve profitability and positive cash flow. We know that investors are looking for leaders like CV Sciences to achieve positive financial fundamentals such as profitability and free cash flow to demonstrate the viability of our industry. We have made the tough decisions to ensure that we are scaled properly, operating efficiently and are focused on adding long-term shareholder value. We believe that the acquisition of Cultured Foods is an example of long-term shareholder value potential, which bring these great products that are sustainable plant-based food products into our US B2B distribution network while working with our EU team to grow this business in the European market. The global vegan food market is expected to grow five times by 2030 with millennials and flexitarians as the driving force behind soaring vegan food sales. We also plan to leverage the Cultured Foods European infrastructure to introduce select products from our flagship +PlusCBD brand across Europe as laws allow providing a nice growth opportunity for our core CBD business. We will continue to participate in the contraction and consolidation of both the cannabis and hemp industries, and we'll evaluate both inbound and outbound M&A opportunities that have strategic value and help scale the business profitably. We are optimistic about the long-term opportunity for our company to remain a competitive force in the health and wellness industry. We have made difficult decisions to ensure that we are scaled properly, operating efficiently and are focused on adding long-term shareholder value. Our customers and retail partners love our products and they trust who we are. We are a company of determined employees that produce safe and high-quality products that meet the needs of our customers at value. Now I will turn the call back over to the operator for any calls from the analyst community.
Operator: Thank you. [Operator Instructions] At this time, I'll turn the floor back to management for any further remarks.
Joseph Dowling: Thank you. I would like to thank everyone for your time this morning. We look forward to speaking again soon. Thank you very much.
Operator: This will conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.
End of Q&A: